Operator: Good morning. My name is Rob and I will be your conference operator today. At this time, I would like to welcome everyone to Atkore's Fourth Quarter Fiscal Year 2024 Earnings Conference Call. All lines have been placed in a listen-only mode. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded. Thank you. I would now like to turn the conference over to your host, Matt Kline, Vice President of Treasury and Investor Relations. Thank you. You may begin.
Matt Kline: Thank you and good morning, everyone. I'm joined today by Bill Waltz, President and CEO; as well as John Deitzer, Chief Financial Officer. We will take your questions after comments by Bill and John. I would like to remind everyone that during this call, we may make projections or forward-looking statements regarding future events or financial performance of the company. Such statements involve risks and uncertainties such that actual results may differ materially. Please refer to our SEC filings and today's press release, which identify important factors that could cause actual results to differ materially from those contained in our projections or forward-looking statements. In addition, any reference in our discussion today to EBITDA means adjusted EBITDA and any reference to EPS or adjusted EPS means adjusted diluted earnings per share. Adjusted EBITDA and adjusted diluted earnings per share are non-GAAP measures. Reconciliations of our non-GAAP measures and a presentation of the most comparable GAAP measures are available in the appendix to today's presentation. With that, I'll turn it over to Bill.
Bill Waltz: Thanks, Matt, and good morning, everyone. Starting on slide three, we will discuss both our quarterly and full-year financial results. We will also provide an update on our business, the markets we serve, and our intentions for capital deployment. These updates will serve as a basis for our FY 2025 financial projections and our approach for the position of Atkore to take advantage of longer term secular trends. Turning to slide four, I want to reflect on certain highlights from the year. We achieved volume growth in each of our key product categories and 3.5% volume growth for the overall company. We returned approximately 75% of our operating cash flow to shareholders through our share repurchase program and the introduction of our quarterly dividend. Atkore also became a leader in environmental impact awareness by releasing environmental product declarations for various products and we continue to be recognized as an employer of choice. In addition to our strategy and processes, our talent teams are a fundamental part of the Atkore business system and a true competitive advantage for the company. I'd like to take a moment to recognize their dedication. Thank you. Turning to slide five, we will review the most recent quarter in full-year, while also providing our perspective on forward-looking factors we believe will drive stronger demand for Atkore into the future. Organic volume was up 3% in the fourth quarter with contributions from both segments. We are encouraged by the performance of certain products in the fourth quarter as we head into FY ‘25. Overall, we were pleased that net sales, adjusted EBITDA and adjusted EPS were all within our range of expectations. Pricing was the primary driver of the change in our year-over-year results. We are also impacted by some unanticipated material conversion and overconsumption within our SNI manufacturing operations. Separately, our S&I team recorded double-digit sequential growth and sales in solar torque tubes in the fourth quarter. Atkore generated strong operating cash flow in the fourth quarter, which allowed us to return over 50% of the cash flow to our shareholders. As we reflect on the totality of the year, we saw volume strength across all key product areas while we continue to experience demand challenges for our HDPE products due to softness in the telecom market. We announced earlier in the year our expansion of Atkore’s network of regional service centers. I'm pleased to announce that we are now servicing customers from two regional service centers located in Texas and Georgia. This milestone in Atkore’s growth journey is important as we now have a complete footprint that enables us to service all of our customers more efficiently. We remain committed to our capital deployment strategy, having repurchased over $380 million of stock in FY 2024. Since initiating our share of repurchase program in November 2021, we have repurchased over $1.3 billion of our stock, which equates to over 20% of the company's outstanding shares. Currently, we have approximately $428 million remaining of our $500 million repurchase program, which was authorized earlier in the year. As we look forward, we remain focused on Atkore’s ability to participate in long-term trends related to the adoption of renewable energy, grid hardening, digitization, and the surging demand for electrification. We've also identified areas where we can leverage our manufacturing and commercial capabilities to capture growth opportunities from other economic trends. The first additional opportunity we have identified is to grow and expand our offering of PVC and HDPE products for water-related end markets. Second, we have an opportunity to leverage our existing construction services capability to support growing demand for global megaprojects, which include data centers, chip manufacturing plants, and other large projects, both in the U.S. and abroad. Through it all, we remain focused on executing a balanced capital deployment strategy with a strong commitment to returning cash to our shareholders. Now I'll turn the call over to John to talk through the results from the fourth quarter in full-year in more detail.
John Deitzer: Thank you, Bill, and good morning, everyone. Turning to slide six and our consolidated results. In fiscal 2024, we stayed focused on executing our strategy. The year was not without its challenges, predominantly related to pricing softness and weakness in certain end markets. For the full-year, net sales were $3.2 billion, and our adjusted EPS was $14.48. Adjusted EBITDA for the full-year was $772 million. Turning to our consolidated bridges on slide seven, in the fourth quarter, net sales were $788 million and our adjusted EBITDA was $140 million. We achieved adjusted EPS of $2.43. Looking at the full-year, net sales increased to $123 million, due to volume growth, contributing incremental adjusted EBITDA of $60 million at 48% margins. Our average selling price has decreased by $406 million. As we have been discussing over the past several years, price normalization, primarily in our PVC business, started at the end of FY ‘22 and continued through FY ‘24. Softness in the telecom market contributed a challenging price environment for our HDPE products throughout the course of the year. During our third quarter call in August, we indicated that our Steel Conduit business was beginning to face pricing pressure, due to increased competition of imported products. As expected, we did experience sequential price declines between Q3 and Q4. Moving to slide eight, one of our core strengths is the breadth of our product portfolio. We've been very deliberate in how we've approached entering new markets and expanding product offerings. Indeed, the diversity of our product portfolio has not only helped us manage our exposure to headwinds in any one particular end market, but it has also allowed us to continuously find ways to bring additional value for both new and existing customers. In FY ‘24, we grew our PVC business, which included both electrical and water-related products. Our metal framing, cable management, and construction services products area grew mid-single-digits, due to increased support for mega projects in the U.S. and abroad. Keep in mind this business grew double-digits in the prior year as well. Electrical cable and flexible conduit products continue to be best-in-class with the success of our patented and differentiated product line, which enabled us to grow in FY ‘24. Finally, our mechanical tube products have grown double-digits each of the last two years due to the expansion of our solar torque tube business. We are pleased with the continued improvement of our output at our Hobart, Indiana facility. Turning to slide nine and our segment results in the fourth quarter, net sales in our electrical segment were $565 million and our adjusted EBITDA margins compressed due to continued pricing normalization in our PVC products and pressure from import competition in our steel conduit products. Shifting over to our S&I segment, net sales increased just under 2% during the quarter compared to the prior year. Although our EBITDA dollars and margin were largely in line with the prior year, both were down sequentially from the third quarter. As Bill mentioned earlier, we experienced some headwinds around material cost conversion and overconsumption in our manufacturing operations. Turning now to our outlook on page 10, we anticipate low to mid-single-digit volume growth in FY ‘25 tied to market expectations and contributions from our growth initiatives. For the full-year, we expect FY ‘25 net sales in the range of $2.9 billion to $3.2 billion and adjusted EBITDA between $475 million and $525 million. Adjusted EPS is expected to be in the range of $7.80 and $8.90. Moving to slide 11, we recognize there are a few critical dynamics between our performance in FY ‘24 and our outlook for FY ‘25. Therefore, we've outlined some of the key components and impacts to both net sales and adjusted EBITDA. We continue to expect price versus cost to be unfavorable year-over-year. Our estimate is higher than we previously expected when we spoke in August. As we look forward in FY ‘25, pricing for our PVC conduit continues to be challenged. One aspect contributing to our PVC conduit pricing is additional new domestic competition entering the market. Secondly, steel conduit continues to face pressure from import competition. As of now, we have planned for the possibility of year-over-year declines in our pricing. However, we continue to actively engage with various third-parties, who are monitoring this important topic and working with various groups to address. With that, I'll turn it back to Bill to give an update on our business, including our strategic initiatives.
Bill Waltz: Thanks, John. Turning to slide 13, whether you've been following us for many years or are relatively new to our story, we want to take this opportunity to highlight Atkore’s compelling value proposition. Since our IPO in 2016, Atkore has made tremendous progress reshaping and creating our identity. We maintain a strong financial profile, diverse product portfolios supported by strong secular tailwinds, and a disciplined approach to capital deployment focused on returning cash to shareholders. We've invested heavily both in organically and organically to position the company for the future. Slide 14 summarizes the strength of our financial profile. Our cash flow generation has always been a strength, which helps support a healthy balance sheet. Our liquidity provides the foundation that enables us to execute key strategic opportunities, while returning capital to shareholders. Turning to slide 15, our portfolio is structured to grow with the market and in certain instances, grow at a faster rate. Our extensive portfolio supports growth across a wide variety of construction end markets, supported by macroeconomic tailwinds and long-term megatrends. Our six regional service centers are strategically located across the U.S. and designed to enable co-load capabilities providing high quality service to our customers. As with any business, there are evolving dynamics impacting the competitive landscape. Certain product categories are experiencing new or additional capacity competition, whether from imports or domestic expansion. As we monitor these developments, we continue to find opportunities to differentiate ourselves as the customer's first choice. One example is our ability to expand our manufacturing capabilities into adjacent markets such as waterworks and plumbing for PVC and HDPE piping products. Having a national footprint has been a key to success with our electrical PVC conduit business. Historically, our participation in water-related end markets was very narrow and represented a small geographical presence. Growing outside of current radius requires further investment in which we've begun. Further, with a substantial portion of our products related to electrical infrastructure, Atkore is well positioned to support electrification megatrends that are driving the construction of data centers, chip manufacturing plants, and other global megaprojects. Atkore’s Construction Services team has been expanding its ability to support these global megaprojects by leading with our globally recognized Unistrut brand. Turning to slide 16, while we invest and augment our product and service offerings to capture growth opportunities in new markets, we remain well-positioned to benefit from the strong secular trends related to the need for a more electrical infrastructure. These trends are supported by large government stimulus programs, some of which have a multi-year funding horizon. Turning to slide 17, to meet the growing need for data storage, developers have steadily increased capacity of new data centers. Modern data centers are often 10 times the low capacity of existing data centers, which is crucial for supporting the continued growth in generative AI, Bloomberg Intelligence has projected the generative AI market to grow to $1.3 trillion over the next 10-years from a market size of just $40 billion in 2022. In FY ‘25 alone, Dodge Construction Network expects data centers to grow by 15% in terms of square footage and 20% in terms of dollar value. In terms of what this means for Atkore, while it's challenging to dimension our precise end market exposure to any category of construction, demand for our products generally follows the market. As we shared during a previous call, data centers have the highest concentration of Atkore products followed by manufacturing and healthcare and should be key contributors to our growth expectations for FY ‘25. Turning to slide 19, our capital employment model has been and will continue to reflect our intention to invest and grow our business with a mindset of returning cash to shareholders. During FY ‘24, Atkore’s Board of Directors authorized a quarterly cash dividend, which is an additional element of our capital deployment model. We also have been executing on our commitment to return cash to shareholders through a robust buyback program. Since November 2021, we repurchased the equivalent of over 20% of Atkore stock or over $1.3 billion, underscoring our confidence in the future of our business. We remain selective in our approach to M&A, but are committed to finding opportunities that would further enhance our portfolio. Turning to slide 20, we spent approximately $150 million in capital expenditures in FY ‘24, with over 50% supporting our growth initiatives, including those related to solar, HDPE, and our new RSCs, as well as an investment we made in water related product expansion in areas to support the global mega projects. Looking ahead to FY ‘25, we will continue to invest in these initiatives for water and construction services. Our future investment decisions will be made with a disciplined return on capital mindset. Turning to slide 21, I'm thrilled to share more detail about our initiatives related to growing our water-related end markets through our expansion of PVC and HDPE offerings. As we have highlighted, Atkore offers a diversified set of products to serve a variety of construction-related end markets, but it is important to underscore that while our products are diversified, they are also complementary. Growing our product offerings to meet the needs of water-related end markets is an opportunity to further complement and expand our existing portfolio. Until now, our existing capabilities enabled us to participate in these markets in a limited way. When we acquired our HDPE assets, we recognized the synergy of offering a broad line of both PVC and HDPE pipe for these new water markets. Our national footprint allows us to reach a broader geography to serve the municipal waterworks and plumbing markets. Several of our Atkore products are already benefiting from the funding related to the Infrastructure Investment and Jobs Act and growing our water-related products allows us to benefit in an even greater way. Also known as the IIJA, this federal program has authorized $55 billion in federal funding for use in water projects, with an emphasis on the replacement of aging water infrastructure. These products also have applications in both residential and commercial plumbing end markets. Dodge Construction estimates this end market will grow approximately 6% in FY ‘25. Turning to slide 22, on prior calls we discussed the potential to leverage our legacy construction services business to participate in unique way with global mega projects. As we enter FY ‘25 we have better line of sight for these opportunities. We have made certain investments to support these global mega projects, including offsite manufacturing operations. By leveraging Atkore’s global manufacturing footprint, legacy design, and engineering services, we are able to utilize off-site manufacturing to construct scalable modular designs, which can then be installed efficiently. The team has done a tremendous job growing Atkore’s presence with some of the most recognized companies in the world, supporting both data centers and chip fab companies. Turning to slide 23, while we've navigated various challenges in FY ‘24, we remain focused on our core business, our strategic growth initiatives, future capital deployment, and productivity opportunities. As with future projections, there are various factors which could possibly impact our year beyond what we initially outlined, as well as potential challenges that could materialize over the course of the year. These topics outlined here provide insight on what we are actively monitoring and the associated impact it may have on our adjusted EPS. As we discussed earlier, our price versus cost assumptions reflect various competitive dynamics, including new domestic competition and continued impacts from imported products. However, we believe there is the possibility that pricing could stabilize and potentially improve with the clarity on the allowable import population. Our volume expectations could have additional upside if certain end markets, specifically single-family, multi-family, hospital construction begins to rebound, we believe we're in a great position to benefit from the incremental volume. Several of these end markets have been impacted by a higher interest rate environment over the past several years. As interest rates begin to decline, we will be watching third-party construction data for leading indicators for these end markets. Finally, turning to slide 24, I can't emphasize enough Atkore’s outstanding financial profile and differentiated product portfolio making us a compelling investment opportunity. Our primary focus continues to be on serving our customers and creating shareholder value. John and I, as well as the entire management team, are proud of what we've accomplished in the past several years. More importantly, however, we recognize that there's still a lot of work to be done. Our commitment to strategy, people, and process is the framework for how we move forward and continue Atkore’s strong trajectory. With that, we'll turn it over to the operator to open the line for questions.
Operator: [Operator Instructions] Your first question today comes from the line of David Tarantino from KeyBanc Capital Markets. Your line is open.
David Tarantino: Hey, good morning, everyone.
Bill Waltz: Good morning, David.
John Deitzer: Good morning, David.
David Tarantino: Maybe just to start out on pricing, could you frame for us the drivers of the change in the pricing headwinds versus the prior framework? Looks like $70 million more pricing pressure than previously expected? And then maybe on that, looks like the guide implies that input costs remain a headwind. Where are you seeing the input cost changes becoming more acute?
John Deitzer: Yes, let me start, David, here on the pricing change versus the prior expectation. And then I think Bill can give some of the other dynamics as well. I'd say that it's an extrapolation here as we look forward we see potential for further degradation than initially anticipated on the PVC electrical conduit side. We talked about some new entrants coming into the market. And we've seen some softness even beyond prior expectations in the fourth quarter. And on the steel conduit side, we've continued to see some declines in the fourth quarter and here in the start of the fiscal 2025 as well. Now we do anticipate those to potentially moderate and there could be some potential benefits from whether it's a government intervention and things like that, that could be a benefit but those largely wouldn't occur until the back half of the year, and then into fiscal 2026 from a steel perspective. So those are probably the two material changes here versus the prior expectation, but largely driven more on the PVC side. Bill?
Bill Waltz: Yes, I was just going to add John gave the same answer David versus follow-up question with as we said in our prepared remarks and John just said what's changed for example with PVC is since we've had our earnings call I think beginning of August is we have been informed that other people are starting factories in the states and there's still a slight increase in imports coming in. So what we want to do is get the numbers out here that you're anticipating those things, so that we don't, you know, as we know information we communicated and therefore from here, hopefully we're ready to run our game plan.
David Johnson: Okay, great. And then maybe to follow-up on the volume assumption, I guess, how much of the growth is just driven by the end markets versus some of the internal initiatives like solar torque tubes?
Bill Waltz: Yes, I think I'm going to split it 50-50. In other words, to go if we say low to mid-single-digits. The markets we are anticipating to grow low-single-digits. I mean, I could look at a lot of things from you by now with us being the last basically to report. You see all the distribution out there. I'm going to basically say flat. I could almost walk without naming names with different ones. And you look at ABI that for the first time ever in 20 months just broke 50, that right now it's a very slow market, but there's probably some growth going into next year. And then from there, it's really Atkore, but from, as you just mentioned, solar with Hobart that the operation, I'll jump probably other people's questions coming up that is running well to all the things we just covered about that I'm pretty -- we have challenges here in pricing, but I'm pretty ecstatic about where we can take this with solar picking up now, water things where we develop the products, so now it's in the sale sand, the global mega projects, a lot of these things like global mega projects, I think kick in more in the you know we're starting to get backlog and a huge quote backlog and some wins, but you know again these things will probably take off more in the summer time where we start seeing revenue or so forth. But there are some of the reasons we will we definitely anticipate growing faster in the market by at least a couple hundred basis points.
David Johnson: Okay, great. Thanks, guys.
John Deitzer: Thanks, David.
Bill Waltz: Thanks, David.
Operator: Your next question comes from a line of Deane Dray from RBC. Your line is open.
Deane Dray: Thanks. Good morning, everyone.
Bill Waltz: Hey, good morning, Deane.
Deane Dray: Hey, I want to follow-up these same lines of questions and hopefully add a little more precision if we could. So look, it's always a good sign when new competitors come in from a perspective of you're in an attractive market you're getting returns otherwise you wouldn't see people coming into the market, so that part's not too surprising, but can you just -- what are you expecting in terms of percent new capacity from this competition? Is it one competitor or two competitors? But from what your market intelligence gives you today, how much new capacity in PVC would be coming online?
Bill Waltz: I'll try to wing it, Deane, but I'll be real high level with, unfortunately, my competition doesn't tell me about where they're starting factories up and so forth. Here's, and I don't want to name one specific one, but if you assume we have eight or nine factories, our next two largest have four, you know, again, different sizes, you're probably having to go down the pecking order, like 25, 30 facilities. I perceive with one person, it's at least three, maybe eventually go into four, one of the facilities seems pretty large to me. But again, how much of that space, how many lines are putting in. But if I just did that, Deane, with that one, maybe it's a 10% with a ramp up, but then you have imports, not growing, just sharing here. Again, I think we're always as transparent, but imports that were 3% maybe grow into 5%, 7%. So is it an extra 15%? It's not a massive amount. I don't want to do that, but Deane, as you go into the next year, it's just that it's the price challenge more than the volume challenge, is that those competitors, you know, try to sell the product they make. And that's why Deane, almost to David's last question, when you sat here, I'll just be blunt and said, hey, we think it's around $650 million, now we're saying $550 million, is as much as I can, I'm tired of saying, oh, there's a new dynamic. So as soon as we figure this out, we're getting in front of this. And now I do want to switch gears and go, I'm excited about a lot of our capital investments are now in the sales hand, i.e. water products are up, solar products are up, global mega projects are running, and now let's go start taking not just share, but let's start adding value for our shareholders after years of capital investment.
Deane Dray: All right. I just want to clarify because it sounded like as you were talking about the bridge between the $650 million and the $550 million midpoint and you said you didn't want to be coming back to hey there's a new dynamic so does that $550 million give you some cushion for you know other kind of dynamics that could come up during the course of fiscal ‘25.
Bill Waltz: John, you can.
John Deitzer: Yes, let me jump in here, Deane…
Deane Dray: Started to go down that path, and I just wanted to get to that.
John Deitzer: Yes, no it's a fair question. So just to be clear, slide 10 has $475 million to $525 million as the range for FY ‘25 adjusted EBITDA outlook. So midpoint that at the $500 million. It is down versus the $650 million. I think Bill is being clear here. I mean, we're working with the teams. What we are trying to do is get a very realistic, but also very forward-looking view on what the rest of the year looks like. From our perspective here, you know, we did have a change here versus the fourth quarter, which is a relatively short amount of time. We don't want to be coming back hopefully in future quarters. But that being said, we do only have two weeks of backlog on several of these product lines and they change pretty regularly, but we're trying to extrapolate forward as best we can. But those are the dynamics we have. So in no way I think our guide is balanced. And I think we are -- there's a lot of things that still have to hit here. We do have a ramp built in here into the back half that as Bill mentioned, these new products, they're operational. The teams have done a great job. Now we've got to make sure we execute both operationally and commercially.
Bill Waltz: Yes, and John, or Deane, I'm just going to not repeat John, but say it is a balanced number. And obviously, we have to grow profits in the second-half. Now in a normal year volumes come up, obviously we'll still have some price win if you almost did a sequential quarter-over-quarter, but then besides it is a balanced number is you know page 23, we try to document in the deck what are the things that could make it stronger, what are the things that if we get hit with more than we anticipate and so forth. So, but I'll turn it back over to you, sir.
Deane Dray: All right, that was exactly the color around your thinking into that reset guide. And just last one for me, and I believe you made a reference to the import. So when you say import, I'm thinking steel. And so very explicitly is the Mexican steel percent did that go up? It was a like low-single-digit and then last quarter, surprise, it's 20%. Did it go above that? And where does that stand?
Deane Dray: No, I apologize, Deane. I was answering for PVC. So I'll go through both again in the spirit of transparency with also, as we say, the percent's realized for there's even what's in the denominator first, but I get your answer. Like we don't know exactly what's the PVC market. We have to guess. There's nobody, the best guess we actually get just sharing is resin manufacturers will say how much and conglomerate they sell, for example, into PVC pipe. And then it's us trying to extrapolate how much of the market's municipal pipe versus plumbing. So all these are estimates. But for steel conduit, I would still keep with the following things. Mexico itself, which is the primary driver, is around 20%, maybe slightly above because they're still growing. And then all imports of steel are probably a little bit less than 25% because there are, for example, China imports and stuff like that. Now recently, now I'm starting to forget exactly when, when the Biden administration adding an extra 25% tariff with 301 tariffs that's up to 50%. It feels like for the last couple months, as I would predict that like China, the old conduit coming in has dropped. So overall, though, Deane, slightly above 20%, all things considered maybe at max 25%, from what we can tell, but below that.
John Deitzer: Those right on here, Deane, we saw a little bit, and I think this is in, there's U.S. government data, other data around the imports. We saw a little slight tick down on the imports in totality for steel conduit in the month of September, but by and large, they were up several hundred basis points year-over-year between ‘23 to ’24.
Bill Waltz: So, hopefully that month-over-month down, year-over-year up. And then again, just before I go to PVC, which was really a genesis of your question, is the latest date is September. So, you know, as we're sitting here in November, you know, we use and communicate the information that we have available. What I was referencing, Deane, is it's a lot less imports, but there is PVC imports, Deane, and I'll try to bridge you that's been covering Atkore and the Tyco's and so forth, obviously for well over a decade, is if you go back in the day, Deane, I know something you referenced like, hey, you have to have an Atkore Hazardous Advantage where we have like nine facilities across the country. We can serve and deliver in two days. And when PVC margins were in the low-mid-single digits, you had to be within 500 or 700 miles. But if it is, and I'm making up a number, 30% margin versus low-teens, a competitor could use that extra 10% to ship in. Now obviously, as pricing drops that becomes less economically feasible, but we do see for example some imports coming from Columbia and Dominican Republic and a couple other countries. And that's where I reference low-single-digits, probably getting to mid-single-digits here. And then what we don't know that we don't have baked into the formula back to page 23 is what the new administration will do with tariffs and I kind of tongue-in-cheek if anyone knows precisely, please let me know but that's you know changing by who's in Treasury and Commerce and every talking head on that one. So we do not really have any tariff assumption in these forecasts, but I also think I'm going down a tariff thing to go does it happen? There's a negotiating thing to get other things solved is it 90-days out from the start? What percent is it what product, so we at least think it's the most logical thing to not include tariffs other than a call-out that, that could be an upside and it could bring optimism from year-over-year as we get into FY ‘26, not that I want to start giving those type of guides at this point.
Deane Dray: Great. Thank you for all these specifics.
Bill Waltz: You're welcome, Dean.
Operator: Your next question comes from a line of Chris Moore from CJS Securities. Your line is open.
Chris Moore: Hey, good morning, guys. Thanks for taking a couple. So maybe just the S&I, EBITDA margin, you talked about unanticipated material conversion. Is that a one quarter thing or is it going to take a couple of quarters to get back into the double-digit range?
Bill Waltz: Yes. I'll get through euphemisms here. So what happened, or again, the majority, there's always a couple other factors, is with a new factory like Hobart with our materials, we take the steel and then we spray or dip it and so forth in zinc, which galvanizes it. Having exactly fine-tuned to 1,000s of an inch how much galvanization zinc goes on a product is something we fine-tune and it's not something you can cycle count every day we have a swimming pool size of zinc, so which is an expensive material. So honestly when we went through did our physical inventory throughout the year we probably were slightly missing on how much zinc was being consumed. We caught it up. So good news here, I mean it's real, but good news is reported in this quarter and no it's not an issue that we're, -- I mean we're still making sure we do a better job of exactly what things apply, how do we forecast it, you know, so our accounting team is doing those type of things. But no, it's a one-time event.
Chris Moore: Got it. So, a further interest rate cuts certainly less of a certainty today than perhaps a couple months ago. What's the interest rate assumption embedded in the current guide?
John Deitzer: Yes, it's a fair question, Chris. I mean, I think where we're expecting to Bill's point is that the market for the core electrical products, I'd say, you know, is expected to grow low-single-digits. And I think that's reflective of kind of the interest in rate environment that people are projecting. So there isn't a single built-in, you know, Fed funds right here into the forecast. But generally what we're seeing, now that there is some clarity around the administration and the election, there's probably maybe less clarity here on what's happening with interest rates. But activity does seem to be picking up. As Bill mentioned, we're seeing some progress on the ABI. Then you have some other items that are not as interest rate sensitive, you know, municipal water projects, the global mega projects, things like that. So there's a dynamic between areas of the market that are interest rate sensitive and areas that are less sensitivity to that.
Chris Moore: Got it. I appreciate that. And maybe more big picture, maybe just talk about the puts and takes, you know, as to why fiscal ‘25, you know, could be the bottom from a revenue and adjusted EBITDA standpoint?
Bill Waltz: Yes, great question here. So I do think it is, but again, we're not here to get a ‘26 guide. So several factors on pricing for, and again, pros and cons. If we have pricing declines this year for PVC and or any other product as you get to ‘26 implicitly even if it levels off there is that year-over-year decline. So it wouldn't surprise me when we get to a Q1 of ‘26 to have a negative price even if it levels off, because it's a year-over-year comp. That said, the things that should help are the following. At some point, as pricing goes down, it will void of new competitors in PVC. It will, as Deane mentioned, hey, it's an attractive market. At some point for importers, it just doesn't become as feasible as the price declines. There's also some, while we don't have it built in this year, whether the new administration puts in 25% tariffs, higher on China for some products, 10%, all the different things that we all read, I mean, it's what I read when I go to bed at night is what's the thoughts on tariffs and different administration leaders of cabinets, is that, that should help domestic manufacturing, which will be significant for us. From there, I truly believe as we go forward, this is the year and then going into FY ‘26, you'll see in the second-half of this year where everything we walked through, the water products, we basically have extrusion lines up, they're ready. It's now in sales hand. Some of us, or I interjected, Hobart is running well, can always see like any plant continuous improvement for our solar. So now clearly in our business reviews, the salesperson knows it's in his hands to go get additional sales. Global mega projects, I probably wouldn't call it out specifics, but I actually thought by now there'd been a very large job that we're like very competent of that would win, again, that goes into the end of ‘25, mostly into ’26, but it'd be nice to have that in our backlog here. And then also for things, even as I say, as small as the regional service centers with our ability to co-load as we called out in the prepared remarks, we made the investments now. Now it's okay, we got to get the customer promise and getting these products delivered or shipped in two days, having the regional footprint is excellent. And then a different way, Chris, to think about this is if you look at the last couple years of CapEx, we did know pricing was declining. Now, obviously, it's declined more in this coming year than we expected. But back in the middle of COVID, we purposely made these investments and now they're starting to pay off and indirectly to go, that's why we have a guide on CapEx that's significantly lower than previous years in the 100 to 125, because the investments have been made. The products are up. I mean, there's still more tweaking. We have a CapEx chart, but it's now team who is accountable, the Atkore business system, get the right people with the right metrics and accountability, and let's start moving forward. And I think we're well positioned as we go into the second-half of the year and into FY ‘26 to make those things occur.
Chris Moore: Appreciate it. Very helpful. I'll jump back in line.
Bill Waltz: Yes. Thanks, Chris.
Operator: Your next question comes from a line of Chris Dankert from Loop Capital. Your line is open.
Chris Dankert: Hey, good morning guys. Before I take any questions, I don't think it's the base case here, but how do we think about the Hobart facility in the context of there being some pressure to roll back the IRA? Can Hobart be profitable without those incentives? Or how do we think about that?
Bill Waltz: Yes, awesome question. Well, every question has been great, but absolutely. So good or bad, we actually started the Hobart facility before the IRA ever came into place. So it was called icing on the cake, getting that. Now, what I would claim is with all the pain that our financial teams and you guys have modeled over the year with solar tax credits, the majority that has actually been passed on to the people that make their raise and to the end customer. So for us, it's not that large of a thing. We still get some of that. Then to go where it helped us most, quite frankly, was half the market before the IRA was coming from China. With the fact that one thing I do feel comfortable with first in the Biden administration is we now have 50% tariffs on products coming from China. And I doubt the Trump administration would change that if anything, increase it. So what we needed from that was to make products in the states and therefore everything is still lined up and now the question you're not per se asking is where is the solar array companies and they're all not all, but several are public and obviously we're dealing with them. You know, there's some short-term concerns on getting permits and labor and stuff that, you know, they're each working through. But me, [Skimmy] (ph), and all their earnings reports and our sales team talking, they're still very comfortable for the double-digit growth going into the years ahead. So of all the different things, it's not my call it top five, it's more and without naming my Vice President of Sales, but for that individual to get out there and let's build a factory.
Chris Dankert: Got it. That's incredibly helpful color, thank you for that. And then forgive me if I missed it, but when we were looking at the $250 million of pricing gift back in the year, had you delineated it all, you know, PVC versus steel, just proportionally how we should think about each piece?
John Deitzer: Chris, are you referencing here in 24? Or on the whole 4 basis, I just want to make sure.
Chris Dankert: In ‘25, you guys got it for what was the number?
John Deitzer: Yes, it's largely on 25 versus, yes, on a 25 versus 24 basis, the price versus cost dynamic built in there is more heavily weighted, significantly heavily weighted towards PVC as opposed to steel. So the dynamic that we're moving forward on here is more of an extrapolation as opposed to exactly what we're seeing in the market today. We're trying to look ahead a little bit on that one here, and that's driving that impact.
Chris Dankert: Got it. Super helpful. Thanks again guys.
Bill Waltz: Thank you.
Operator: Your next question comes from the line of Alex Rygiel from B. Riley. Your line is open.
Alex Rygiel: Thank you. You touched upon it a little bit so far this morning, but maybe if you can go into a little bit more depth as to your success to-date in mega project opportunities and how you see that timeline playing out for future opportunities?
Bill Waltz: Yes, I think we're basically on track, which is definitely, and I'll give caveats here, large double-digit growth. And we're tied in now again, as I kind of alluded, you know, with some all well recognized companies that, again, we're hoping to like receive the purchase order anytime. They've bought models from us to test things out and so forth. So I think we're committed there. So optimistic of the future, and then there, you know, with one we just having some short-term challenges is they're trying to figure out and delay some projects and redesign things, but that should still give, you know, still opportunities for a future. So long-term I think we're in a very good spot. I don't know if I can get more specific, but the backlogs up, the quote rates up, we have multiple large projects where we, again, if we don't have the order, but my sales team is marking from 90% probability here 75% or some large ones, it's down to two of us, it's 50-50 on which one wins it. Unfortunately, unlike the rest of Atkore’s products where John Deitzer mentioned, hey, we have a four-day backlog and trying to predict out, these are things you have to work a year in advance. And then it's a, you know, a 12-week at least bidding process, if not longer. And then there's a six-month delay before it actually starts up with our stuff. So it's more optimism for FY ‘26 and maybe the back half, the very last quarter of FY ‘25, but optimistic.
John Deitzer: Yes, I think I would just build on that because, you know, I look at slide eight, the metal framing, cable management, construction services. That's where we have this team that's really focused on these global mega projects. That business grew double-digits last year and mid-single-digits this year. But I'd say three, four years ago, that was probably, if you stack this page and we did it, that was probably our third or maybe even fourth largest product area. Clearly, today it's our second largest product area right behind the plastics products. It's been growing steadily. And then the Unistrut brand that we have, that visibility we have globally and how we've stepped that business up incrementally over several years and building that backlog. It's actually been a really nice story. We look at how we're investing in a lot of the water projects. Those kinds of the largest product category here with the plastic, but then the second other key investment area that we're trying to do is inside of this, our second largest product category. So it's areas where we have been growing, we have the brands, the ability to win in the future. This is what we're trying to do to combat some of the other more dynamics we have, you know, with the short cycle backlog and pricing dynamics. So, this is what we like about this business into the future here.
Bill Waltz: Yes, if I can add without, you know, filibustering, so to speak. But if you also went to page 22, this is where I'm proud of this team specifically in Atkore, back to questions about is FY ‘25 our low point. There's a lot of things we're doing that truly unique, i.e. The Regional Service Center getting into water products. But if you look at ‘22, it’s -- there are other people in this industry. So, I don't want to say it's totally unique something for us. But it's no longer just, well, what's your price of metal framing versus, I won't mention our competitors, but well-known global corporations versus, hey, you have, a Unistrut brand that's globally recognized. We have operations across the world with this factory, and we have companies that have worked with us, for example, in the States that, for example, have done things with us in Tel Aviv, you know, after you get on their short list and proven, and it is a unique thing where we can take multiple of our products, assemble all of them together in an offsite manufacturing, get a best practice down, use our lean ABS, and it's growing. It's still in the single percent, but it is definitely growing double-digits plus as we go forward. So this is where reshaping Atkore, it obviously takes several years to make that happen, but it gives me optimism for where we're taking this corporation.
Alex Rygiel: That's helpful. And then just to clarify, did I hear correctly that from a pricing standpoint, steel products, the pricing is basically stabilized as of today, but you have negative year-over-year comps coming for a couple more quarters versus…
Bill Waltz: No, I would say it's…
Alex Rygiel: You see more erosion in pricing and therefore…
Bill Waltz: Yes, I think. Yes I apologize. I would, and John can correct, he's John and Matt are closer to the numbers, but I would say no. What John answered earlier was the biggest change year-over-year is PVC. And that's forecasting in a way because of, again, new entrance into the market. Steel is still declining, but it's declining at the rate when we had, for example, when we talked in August and said, hey, you know, we have this $650 million, I would hope that as we get, but it's not in the forecast, as we get into the latter half of the year, that the new administration is somehow in tariffs will help that out. But again, is that something assuming they do? Is that a one quarter? It's not going dramatically change our fiscal year other than give me stronger optimism even back to the question of why FY ‘26 would be up over ‘25. But no, both are declining. PVC we're forecasting to go down more year-over-year.
Alex Rygiel: That's helpful. Thank you.
Bill Waltz: Thank you.
Operator: And your final question comes from a line of Andrew Kaplowitz from Citigroup. Your line is open.
Natalie Bach: Hi, good morning. This is Natalie Bach on behalf of Andy Kaplowitz.
Bill Waltz: Good morning.
John Deitzer: Good morning.
Natalie Bach: I think you highlighted productivity opportunities, but can you elaborate on what you're doing and to what extent are these actions in your control versus dependent on volume growth? Not sure if you can quantify how much they're helping you, but any color would be appreciated.
Bill Waltz: Yes, that's a great, well, every question has been great, but no, we're expecting productivities. I don't, if we didn't directly, so I'll just say in the tens of millions of dollars of net productivity this year. We're actually forecasting our highest productivity year this year and obviously volume helps, but there's enough things where we've again backed investments. We've added I'll just say several tens of people. I don't want to get specific amount of people, but we've hired dozens of people just to work, not in line jobs, but lean productivity. And it's everything from scrap production, for example, you do a line changeover and it takes, I'm making this up, but an hour or two to streamline that PVC line and yes, you can regrind the material, but let's get that more efficient. The same thing with uptime in some of our older factories and how we do a better job with preventive maintenance. So without, volume would help, but without volume, we should still get a good net productivity from this investment we're making going forward.
Natalie Bach: Okay, got it. That's very helpful. And then just one more question from me. Your 1Q guidance seems to be relatively low. Can you elaborate if it's all seasonality or are there other factors leading to a softer start? Not just pricing is a bigger headwind at the start of the year, but just thinking past 1Q, you set a ramp up in the back half. If you could provide some color on how we should think of pricing versus volume impact throughout the year?
Bill Waltz: Yes, I'll start. If we get back, which I'm optimistic we will to normal seasons. And what I mean by that for people that follow the company for a decade plus, this summer months, our Q3 and Q4 are always stronger. And there's logical reasons for that. Like you go to extreme PVC, HDPE products where it's hard to put them in the ground when you have a foot in snow in half the country and so forth. So, and just construction in general is more efficient even if it's steel conduit on the 38 floor of some skyscraper in some building when it's windy and freezing out versus summertime. So there always is, call it 5%, 10% more volume growth than their for-profit in the summer. And then the other thing that will help us is kind of all these different things we talked about. For example, the water products like getting them out and going or as the ag season now kicks off and different things or the municipal products, the same way to go. You're not going to be putting in this is a hypothetical, but a new water main probably in Detroit when there's a foot of snow and there's an ice permutation down your foot. So some of it's the initiatives kicking off, some of it's fine tuning the initiatives, but those things and just the way the markets have always worked should give us a stronger second-half of the year.
John Deitzer: Yes, absolutely. And the only other item I would add is the year-over-year comparable in Q1 is against the more difficult comp. Our Q1 of 2024 was probably our highest level of pricing in the year, highest level of EBITDA, et cetera. So that year-over-year comparison in the first quarter is probably the largest. But then in the volume, we do expect the ramp, and then some of these projects and investments that we've made, those should start to improve as we progress throughout the year. So it's really a little bit of a different story dynamically between if you're looking year-over-year sequentially, but from an earnings perspective, probably it is embedded here higher in the back half than it is here at the start.
Natalie Bach: Okay, thank you. Appreciate all the colors.
Bill Waltz: Thank you.
Operator: And this concludes the question-and-answer session. I would now like to turn the call back over to Bill Waltz for closing remarks.
Bill Waltz: Before we conclude, let me summarize our key takeaways from today's discussion. First, Atkore continues to evolve as evidenced by our expanding product portfolio. Our initiatives are natural extensions for what we've built over many years. Second, we continue to monitor the overall market dynamics and competitive landscape and believe several factors could have a positive impact for us as we move throughout the year. Finally, we remain committed to our capital deployment strategy to create shareholder value over the long-term. With that, thank you for your support and interest in our company, and we look forward to speaking with you during our next quarterly call. This concludes the call for today.
Operator: This concludes today's conference call. You may now disconnect.